Operator: Good morning all, and thank you for joining us for the AmRest Half 1 2025 Results Call. My name is Carlin. I'll be coordinating the call today. [Operator Instructions] I'd now like to hand over to our host, Lukasz Wachelko. Please go ahead.
Lukasz Wachelko: Good afternoon, ladies and gentlemen. My name is Lukasz Wachelko. I'm a representing WOOD & Company. And again, I have a pleasure of moderating the call with AmRest after the results. The company is being represented by CFO, Eduardo Zamarripa; and IR Santiago Camarero Aguilera. Gentleman, the mic is yours.
Eduardo Zamarripa: Thank you, Lukasz. Good afternoon, and thank you for joining us in today's second quarter 2025 AmRest result presentation. I will share with you an update on AmRest situation at the end of the quarter. In the second quarter, global conditions were shaped at escalating tensions that led to episodes of significant financial volatility and a broad decline in consumer confidence across many countries. Regional performance reflected this uncertainty. Western Europe slowed to near stagnation. Eastern Europe remained comparatively resilient and China developed solid growth, but structural changes persisted beneath the surface. With this context, we'll now review our second quarter results, financial performance and outlook before opening the floor for your questions. Please note that today's remarks may include forward-looking statements subject to risks and uncertainties. But let's start with today's presentation. Let's go to the Slide 2, please. As a reminder, AmRest is a leading multi-brand restaurant operator in Europe, with 2,103 restaurants across 22 countries in Europe, the Middle East and China. Our portfolio combines iconic global franchise brands, KFC, Starbucks, Pizza Hut and Burger King, with proprietary concepts such as La Tagliatella, Sushi Shop, Blue Frog and Bacoa, positioning our businesses across quick service, coffee, fast casual and casual dining. Every month, our restaurants welcome over 30 million guests served by more than 45,000 AmRest colleagues. Scale that allows us to deliver consistent value and service across formats and geographies. If we move now to Slide 3. I'm going to try to summarize the most relevant financial KPIs and event for the first half of the year. First, in the first half of 2025 revenues were almost EUR 1,262 million. This is a 2.5% increase year-over-year or 3.9% when excluding the deconsolidation impact from the assets sold in Q1. This is the 51% stake in our subsidiary SCM, that was performing procurement activities for the group. Second, year-to-date adjusted EBITDA was more than EUR 196 million, roughly flat versus last year, while EBIT reached 47.5 million, improving the EBIT margin to 3.8% versus 1.9% in the first half of '24. Leverage stood at 2.1x at the low end of our internal target range. In addition, we delivered 36 gross openings and 123 renovations during the first half, supporting future growth and customer experience. And finally, we executed the strategic change to internalize our supply chain management following the first quarter transaction on SCM to simplify operations and capture efficiencies. In the following slides, we will go in more deep and detail on these points. But let's start first with what we are doing in our different brands on Slide 4. The commercial position of our brands plays a crucial role in the value generation of AmRest. Let me start with the quick service and coffee brands in this Slide 4. At KFC, we continue to elevate our product experience introducing exciting campaigns and seasonal innovations tailored to local tastes. The popular pizza Twisters made a comeback in many countries in Central Europe, driven by its strong past performance. In Poland, we launched as well our most prominent campaign. Collaboration with Netflix Squid Game, featuring Korean inspire menu items paired with 360-degrees viral marketing strategy that capture widespread attention, driving both engagement and brand business. At Burger King, we believe morning should be both satisfying and full of flavor. That's why we are proud to serve a breakfast lineup that's anything but ordinary from fluffy mini cakes to crispy breakfast toasts and a range of high breakfast burgers made with beef, chicken or plant-based patties. Each item is crafted to start the date with a tasty and energy. At Starbucks, our seasonal beverage innovations continue to deliver strong results, delighting guests and driving incremental sales. Our spring Lavender range, led by the standout Iced Lavender Matcha Latte or the summer Tiramisu range are a testament of the power of flavor-driven campaigns. Moreover, seasonal food items were thoughtfully paired with LTO beverages, enhancing the overall guest journey and driving incremental value across markets. Now moving to the fast casual and dining brands on Slide 5, please. At Pizza Hut, we continue to deliver memorable moments through innovative product launches. In this quarter, we proudly introduced Wing Street, a new product category featuring oven-baked chicken nuggets and strips positioned as both a Pizza Hut offering and a stand-alone sub-brand on aggregator platforms. Wing Street expands our reach and strengthens our presence in the Chicken segment. At Blue Frog, we continue to strengthen emotional connection and elevate seasonal appeal through experiences at premium innovation. We embraced the summer season. We launched a vibrant dream campaign featuring yogurt smoothies, tropical coolers and color, not alcoholic blends. The Drink of the Moment campaign targeted younger audiences encasing refreshment and driving brand engagement. At La Tagliatella, our rebranding journey continues transforming the guest experience and strengthening operational excellence. Since the launch of our rebranding initiative in 2024, we have successfully reopened 15 fully revamped restaurants with plans to extend renovations to franchise locations by the year-end, ensuring a consistent and an elevated brand presence. And finally, at Sushi Shop, second quarter was marked by the launch of a strategic brand collaboration with Rubik's Cube. The box designs feature Rubik's Cube was paired with a new creative receipts, making the collaborations both fun and playful. This initiative helped us to connect with a wide multigenerational audience, blending nostalgia with a fresh product experience. Please now move to Slide 6. As discussed, revenues reached EUR 1,262 million, up 2.5% year-over-year or 3.9% excluding disposals. In this regard, we see steady progress in 12 months trailing average sales per equity store, reflecting the portfolio channel mix, pricing routines and renovations impact. The combination of per store productivity and selective growth supports these strengths, enabling us to consistently enhance unique economic across our network. As a result, AmRest continues to deliver resilient performance at the store level. Moving to Slide 7. On the left-hand side, you can see dine-in sales evolution versus other channels. We have achieved a balanced omnichannel mix. This evolution allows us to better meet guests whenever they are, whether in a store, online or go while optimizing operational efficiencies and enhancing overall profitability. On the right-hand side, you can see that the digital shares of orders reached 62% during the first half of the year, combining proprietary kiosk mobile app, web ordering and third-party platforms. In summary, digital capabilities remain a structural pillar. This robust digital adoption is not only a testament to changing consumer preference but also to our ongoing investment technology and operational excellence. As a result, we accelerate peak hour service and minimize wait times, ensuring guests receive a seamless experience even during busiest periods. We are able to reduce variance in executions across our network, leveraging digital tools to standardize processes and maintain a high service quality. And we achieved ticket uplift achieved through an effective merchandising and loyalty programs, which drive higher average spend per visit and foster repeat business. Now moving to Slide 8. As we have covered in previous calls, our underlying restaurant growth is complemented by strategic adjustments to nonperforming businesses made since 2022, which has led to the end of certain commercial agreements or disposal of some businesses during this period. These decisive moves are aimed to sharpening our capital allocation and focusing the portfolio on the most resilient and profitable formats, ensuring that our footprint is configured for sustainable long-term returns. Today, AmRest operates directly or via franchisees a portfolio of 2,103 restaurants across 22 countries and 8 brands, following the opening of 21 new restaurants and the closing of 14 during the quarter. With this, Santi, if you can cover the main financial highlights, please.
Santiago Aguilera: Of course. Many thanks, Eduardo. As always, it is my pleasure to have the opportunity to update you on our quarterly results presentation. But before we dive into the details, I would like to highlight a few key themes that we will frame our discussion today. First, top line growth. We continue to deliver resilient revenue performance, supported by our diversified brand portfolio and disciplined commercial execution focused on effective pricing and upselling and by the continued growth in digital locations as more customers choose our digital channels for convenience and value. Second, stable EBITDA. Our operating profitability remained robust, reflecting effective cost management and ongoing operational efficiencies. Next, improving operative results. We have achieved a notable improvement in EBIT, driven by lower impairment charges and a focus on quality of earnings. And finally, healthy leverage. Our balance sheet remains strong, underpinned by solid cash generation and disciplined capital expenditure, which position us well for future growth opportunities. These pillars form the foundation of our financial strategy and demonstrate our commitment to sustainable value creation for our shareholders. Now let me turn to the presentation and take a closer look at the results of the quarter. If we can go to Slide 10, please. Here, you can find the main financial data for the half of the year, which I believe most has been already covered by Eduardo. But let me provide a quick recap for everyone. As previously mentioned, for the first half of the year, sales reached EUR 1,262 million, representing a 2.5% growth year-on-year. Our same-store sales index stood at 101, indicating a stable performance across our comparable units. EBITDA for the period was almost EUR 190 million. which translates to a 15% margin. Operating profit came in EUR 47.5 million, with a margin of 3.8%. During the half, we opened 36 new units and invested almost EUR 70 million in CapEx, maintaining a disciplined approach to capital allocation and prioritizing high-return opportunities. EBITDA non-IFRS stood at almost EUR 96 million, representing a margin of 7.6%. As always, we also try to provide our most up-to-date information where year-to-date same-store sale index remains around 101 formation updated on the 31st of August, which underscores the resilience of our business model despite weakness consumption across many countries. These results reflect our commitment to sustainable growth, operational excellence and prudent financial management. So now moving on the second quarter detail on the slide here, please. Sales amounted to almost EUR 642 million reflecting a 0.4% year-on-year growth or 3.9% when excluding the impact of the business disposals. Our same-store sales index was 100.9%, indicating continuous stability on our comparable units. EBITDA for the quarter reached almost EUR 108 million, representing a 16.8% margin. Non-IFRS EBITDA stood at EUR 61 million, with a margin of 9.5%, while EBIT amounted to EUR 34.4 million with a margin of 5%. During this quarter, we executed 21 new openings and invested almost EUR 39 million in CapEx. Moving to the Slide 12, please. You can find the quarterly sales on same-store index evolution. In the second quarter, we benefited from typical seasonality of our business. As you can see on the left-hand graph, which provide a supportive backdrop for sales. This is why we always suggest analyzing the results with a more long-term window, especially first quarter results. However, overall, growth was affected by geopolitical tensions that resulted in a challenged macroeconomic environment across many countries with a direct impact in consumer sentiments across most of our markets. Despite these headwinds, as and also a competitive landscape, our quarterly revenue evolution demonstrate the resilience of our business model. Turning now to the Slide 13, please. We will focus on EBITDA performance for the second quarter. In the second Q, as we have seen EBITDA was almost EUR 108 million. Margins remain robust in the 17% area, underscoring our ability to maintain healthy profitability even in a dynamic market environment. The EBITDA bridge on the slide illustrates how we have successfully protected unit economics through the management of effective labor and productivity initiatives. These levers have enabled us to offset inflationary pressure and competitive challenges, ensuring that our operational efficiency remains strong. Turning to the Slide 14, please. Let's look now at our operating profit and cash generation for the second quarter. EBIT reached EUR 34.4 million in the second quarter, representing a 5.4 percentage margin. This marked a significant increase of more than 4 percentage points compared to the second Q of last year, thanks to a substantial reduction in impairment charges. This improvement reflects our ongoing efforts to enhance the quality of our earnings and strengthen our operational discipline. Additionally, operating cash flow increased strongly in the quarter, reaching EUR 106 million, reverting in this way, part of the negative seasonal effects that we saw during the first quarter of the year. Now moving to the Slide 15, please. I would like to highlight several key developments regarding our restaurant portfolio and financial performance with this slide. First, over the last 12 months, our net equity restaurant count increased by 57 units, reflecting our commitment to selective growth in high potential markets and formats. At the same time, the number of franchise restaurants decreased primarily due to the transfer of the Pizza Hut France business, which was part of our ongoing strategy to optimize the portfolio and focus resources where they can deliver the greatest returns. From a financial perspective, the net profit of the group reached almost EUR 8 million in the quarter, compared to the losses of EUR 23 million 1 year ago. Additionally, our free cash flow generation improved with an increase in operating cash flow while maintaining a gradual reduction in the CapEx. If we move to the Slide 16, please. Here, you can find a detailed overview of our liquidity and leverage position. Our overall risk profile has remained literally unchanged despite an increase in our net financial debt that sits at EUR 521 million at the end of the quarter. Importantly, leverage stands at 2.1x, which is at the low end of our internal target range and reflects a disciplined approach to financial management, consistent in a commitment to maintaining balance sheet strength while continuing to impact selectively. Finally, at the end of the second quarter, we held EUR 132 million in cash. And we have access to EUR 210 million in available credit lines and used, ensuring that our liquidity position remains both prudent and efficient, fully aligned with the group operational and strategic needs. On Slide 17, you can find an overview of our financial divestiture and maturity profile. As you can see, there have been no significant changes compared to the previous quarters. Our funding remains stable and well balanced with the vast majority of our debt denominated in euros. The maturity schedule is well laddered with a clear long-term orientation. Going into the Slide 18. We can find the breakdown of revenues, EBITDA and the number of restaurants that we have in each geography. These segments comprise businesses in 22 countries where we have observed once more very different commercial dynamics. As usual, we will start with Central and Eastern Europe, our more relevant region from a business perspective that represent more than 60% of the group business. You can find this information on the Slides 11 and 20. Sales generated in the region during the quarter amounted almost EUR 400 million, reflecting growth of 8% compared to the previous year. Remark the strong performance that we have in the Polish market, our main market, where revenues increased by almost 10%. EBITDA generated in the region during the quarter totaled EUR 79 million, representing a margin of almost 20% and a growth of 7% year-on-year. The restaurant portfolio in the region comprised 1,249 units at the end of the quarter, following the opening of 13 restaurants and the closure of 1. This leads year-to-date openings to 27 with 6 closures. In the Slide 21 and 22, we can continue with Western Europe. Sales generated in the region during the second quarter reached EUR 220 million, representing a decline of almost 2% compared to the same period of 2024. This performance reflects significant divergence across countries. While Spain and Germany grew at rates about inflation, France recorded a steep decline of 14%. EBITDA for the quarter reached nearly EUR 34 million, representing a margin of 15.3% and a decline of 8% in nominal terms. The restaurant portfolio closed the period with 772 units following the opening of 5 restaurants and the closure of 10. Year-to-date, 6 restaurants were opened and 18 units were closed. If we move now to the Slide 23 -- 24, please. We have here the performance of China. We are searching the region declined by more than 9%. This is in euro terms, reaching EUR 22.6 million during the quarter. However, this decrease in local currency or constant euros would be 5%. The macroeconomic environment and the global decline in consumption in the country are the reasons for this performance. Nominal EBITDA amounted to EUR 5.2 million, representing a margin of almost 23% compared to 24% from the previous year. The number of restaurants managed by Blue Frog in the region at the end of the quarter was 82 units following the opening of 3 restaurants and the closure of 3. On a year-to-date basis, 3 restaurants were opened and 8 were closed during these months. And with this Eduardo, we have covered the whole presentation. So back to you.
Eduardo Zamarripa: Many thanks, Santi. Looking ahead, our strategic focus areas are clear and well defined. First, we will continue to protect everyday value and convenience across all our brands, ensuring that our offerings remain attractive and accessible to a broad base of consumers, regardless of market conditions. Second, we are committed to scaling digital engagement and loyalty, leveraging technology to deepen consumer frequency, personalized experiences and drive incremental sales across our omnichannel platform. Third, we will maintain strict cost control discipline and unlock further efficiencies, particularly as we continue to realize the benefits from our recent supply chain transition. This will help us to preserve margins and reinvest in growth initiatives. And finally, we will allocate capital to the best opportunities across formats and geographies, prioritizing investments that offer the highest returns and support our long-term strategic objectives. We are confident that our disciplined approach and strategic clarity will enable us to create sustainable value for our shareholders and all stakeholders going forward. Many thanks, everyone. And with this, we are open to any questions that you may have.
Operator: [Operator Instructions] Our first question comes from JP Rolandez from Funds.
Jean-Pascal Rolandez: So thank you for this presentation, and thank you for numbers, which are better than they look like. So I have several points. One, could you -- do you have an idea of the outlook for the rest of the year? Do you confirm a guidance? Do you give a guidance for the rest of the year at this stage? Two, well done for the organic growth because in this environment, it's very difficult to have organic growth. And your -- I'm sure you are outperforming your local markets. So that's thanks to the initiatives you described at the beginning of the presentation. How about inorganic growth, I mean, store openings and also acquisitions? Because the restaurant sector is currently depressed. So it's probably a good time to make acquisitions and you have now some leverage to do that. And in terms of restaurant opening, you told us that you would have significant opening program towards the second half of the year. Do you confirm that? Because the first half of the year, your restaurant opening program, net of closures was a bit shy. I have a third point regarding China. Because in one of your press release, you -- maybe that's a sentence which was left over from the last time, but you say that China is doing very well and is actually no. And that's a more general point maybe for next time, could you a little bit clarify your financial communications. Your slides are very clear. But when we read your press release, it's not so clear. And it would be helpful to have in your financial release comparative tables like-for-like because we are a financial analysts, and we -- to be honest, we struggled a little bit in reconciling numbers because there are numbers a little bit all over the place. So one, inorganic growth -- one, outlook for the rest of the year; two, inorganic growth; three, China and four, financial communication.
Eduardo Zamarripa: Thank you, JP, for your questions. And starting with the outlook for the rest of the year. We are reporting the first half. The third quarter is quite relevant in terms of results for the cumulative figures. So at this point, we are keeping the guidance that we gave. But I'm going to connect this question with the second one that you also may -- sorry, the fourth one that you made in terms of the openings. As you highlighted, we are a little bit behind in terms of the openings, is taking more time than expected. Usually in the second half, we have a stronger number in terms of opening, which is going to still be the case. But we may face some of the openings that we have programmed for the fourth quarter would be dropping to the first half of 2026. So that's something that we are seeing right now. And as you highlighted, that is consistent with your comments. In terms of your organic growth, that is the second question that you made and you mentioned that is quite difficult. Right now for the industry, we need to split within the different regions. Overall, as we said in terms of same-store sales, we are overall marginally up, but there are high differences across the different regions. Poland, as Santi was mentioning, keeps quite positive in general terms. CE markets have higher numbers than the one that we show overall. And we have very specific countries in which we are suffering in terms of the organic growth, particularly the two markets that have the situation or face this situation is France and Germany, which are the most challenging for us and the ones that we are putting an important look at it and highlight. Then the third topic that you were raising in terms of inorganic growth, as you mentioned, the sector is depressed and that, yes, we also live that and see that. One of the topics that is quite relevant for us, always opportunities occur and we are constantly measuring opportunities that could be there. One of the positive things that we have at this moment is the level of leverage that we have accomplished and that we are keeping. And as we mentioned, at the low end of the level that it was set as a company that we feel comfortable with. So we have the flexibility to do that, but we have to be very disciplined, and that's something that we remain in terms of having and analyzing and, let's say, advancing the analysis on really the opportunities that can make sense, something that really could deliver value in terms of the portfolio of AmRest. But positively, we have that flexibility in our financials. I already addressed the four topics that you mentioned in terms of openings, while I was connecting it to the first question. And I take note of the fifth topic that you mentioned in terms of the comparables. And one thing that we can do is organize a call with the Investor Relations team and the suggestion that you may have we can discuss it. So -- and if it's in better transparency of the company that we are always aiming to that, we can go through that. But I think it would be good to have a discussion, a separate on this one to be able to address the suggestions that you have, JP.
Jean-Pascal Rolandez: Yes. That would help because the Polish investors are not so familiar with restaurant -- listed restaurant businesses. And when I see sell recommendations from Polish brokers on a business with such a strength and so well run like AmRest, I wonder whether there is not a miscommunication issue because as you know, I've been investing in the restaurant sector for 30 years. And frankly, your operation is super strong and super well managed. And again, your results even for the first half are actually better than they look like.
Eduardo Zamarripa: Thank you very much, JP. And yes, we have been in contact for quite several times. You know us and the trajectory that we have. So thank you for your comments and everything that we can do in order to improve in terms of the communication, we are open to hear that and let's have -- I hear your suggestions in the following days.
Jean-Pascal Rolandez: Okay. One word about China, perhaps because in one of your press release, you said China is doing well and sales are down. There is a sentence which says that China is doing well, and actually, sales are down.
Santiago Aguilera: From the macro perspective, what it has happened is that during the first part of the year, with all the noise with respect to this retaliation to tariffs and so on, it was a push in terms of exports that pushed the growth of the country. And from a macro perspective, which you see the headline figure, it was a very strong growth. However, in terms of the feeling and what we are seeing in terms of consumption pattern, the situation has not improved. So what we were trying to convey here is this idea and that in this occasion, the macro headline it was not really aligned with the situation that we are seeing in terms of the day-to-day people, I mean, in the terms of the consumption pattern. I hope that with this -- we have clarified this fine.
Jean-Pascal Rolandez: Okay. Yes. And again, your figures are stronger than they may be perceived by today's share price reaction at least.
Operator: [Operator Instructions]
Lukasz Wachelko: Maybe I will take and use the privilege of moderator and ask a couple of questions from my end. Guys, if you could help us to walk through the segments a bit again. Well, first of all, very decent numbers from Poland, whereas the grocers were complaining on weather. Do you see it as a strength of the restaurant market overall? Or you've been better than the restaurant market in Poland over the second quarter of this year? How do you see it?
Santiago Aguilera: Well, I mean, double-digit growth in terms of performance in the country, margins of 20%. I think that as you are describing, they are better than our peers. I think that our position as a leading brand operator in the country is out of that. We are having very good results. Part of the strength of our portfolio is that despite weather effects and despite of other concerns, the business is extremely resilient. Of course, this is something that it has to be seen in context of the different brands that we have across different countries. But in the case of Poland, we have several brands, and this is the case.
Lukasz Wachelko: Okay. And you are -- we keep complaining on German market, but in fact, if you look into the numbers from the German operations for the second quarter alone, 19.9% EBITDA margin, decent growth year-over-year. Is it still that bad? And we are not seeing something because of the numbers? What's happening there? Because, on numbers, it doesn't look that bad.
Eduardo Zamarripa: It's -- and thank you, Lukasz, for making that question, and I think it's relevant. We have a couple of onetime effects over there that are helping EBITDA. Not to mention one of them. Last year, we faced in one of our restaurants. In fact, the best KFC that we have in Germany a fire and it was closed for quite some time because it takes time to rebuild it. All the claims that we have and the time to put that to work again. And we received resources from the insurance company that were registered in the second quarter. And plus that now this restaurant is working again.
Lukasz Wachelko: How much? Can you put any number behind the cash from insurance?
Santiago Aguilera: A little bit less than EUR 1 million, Lukasz.
Eduardo Zamarripa: And things like -- and the way that I'm mentioning it, if we measure it and one of the topics that we want to convey here is that it's quite relevant to separate or analyze the geographies in different ways. Now seeing markets continue being quite a strong performance and with very positive results. But also, we need to acknowledge that we have certain markets that are lagging in terms of consumption. And that's why I highlighted Germany and France. But as you see in our numbers, the one that really we are facing the most challenges is France.
Santiago Aguilera: If I may add over here, a couple of points to complement the comments from Eduardo. So the first one, when we were referring to Poland before, I was referring also to the footprint that we have in the country and the complementary of the brands. In the case of Germany, what we have is a different footprint. We have a small presence in terms of KFC. And most of our business is Starbucks, but this is a type of business that is less resilient to the economic cycles than the QSR. It's a coffee segment that provides other type of users. What we are seeing right now is a recovery, as you can see in the figures, but we were facing from several quarters a tough situation over here. In terms of the restaurant fire, unfortunately, we have the situation in one of our West, not one of our West, in our West KFC restaurant in Germany. We faced a very similar situation unfortunately in the case of France. Basically, due to the time difference between the fire where basically we don't have the asset available, the negotiations that we need to have with insurance, this time lag obliged us to need to book as a loss, the value that we have in these restaurants. And when we receive the insurance payment to post it as a positive income. So we have this situation in the case of Germany, and we have the opposite side in the case of France for this quarter. So it's a very, as I said, unfortunately situation. On the overall performance of the group, this is neutral, but we have a fire on the second Q of this year in one of our KFC restaurants in France and where we were obliged to book EUR 800,000 of a loss. This is affecting the profitability that we see in the country. There are several things as well. I know that there is certain complexity because we have business in many different countries. But to remind that when you see the figures of France, last October, in October 2024, we booked also the transfer of the Pizza Hut business in the country. So this is something that is also affecting the comparability of the figures that we have. This, of course, doesn't change the fact that we are facing a very challenging environment in this specific market, but just to contextualize to go deeper into these figures. I hope that this helps.
Lukasz Wachelko: Okay. Can you also help us understand the segment called Other because it seems that the disposal of SCM made the losses in other segments much deeper. So should we read it that previously SCM was responsible for like EUR 6 million of positive EBITDA per quarter? Because this time were at EUR 10.1 million, last year was EUR 3.7 million. There are no revenues behind. So can you help us to understand these numbers?
Santiago Aguilera: SCM, as you know, it was our subsidiary. We have referred to this situation during the call, in where we have a stake of 51% in this company that it was sold during the first quarter of this year. So basically, what that was meaning is that we were consolidating in the past, the full results of this company. And that is why I don't want to go too much technical here, but in the minorities in our P&L account, you could see in the past how part of the profits generated of the company were for the minorities and not to the parent company. So when you see all these figures, what you find is that the EBITDA of this company, it was around EUR 8 million and around half of this figure, of course, it was referring to the minorities of the company. So now that we have this consolidation of these assets, basically, that is not in our numbers anymore. What you see in this line of others is the reflection on the cost of central services that we have in the company that are not allocated to any specific business geography, and then the IR team, executive team and other general services. So I hope that this clarifies a little bit the numbers.
Lukasz Wachelko: Are there any questions from the room?
Operator: We currently have no further audio questions on the line.
Santiago Aguilera: We have received also some writing questions. Some of them, I think that we have already been addressed them. So we have received questions about the guidance that we provided for 2025, if we maintain the guidance, the EBITDA margins and so on. So I think that Eduardo addressed already this. So we maintain the guidance that we have. We may see some deviation in terms of new store openings. But globally speaking, there is no reason for us to be deviate from the guidance that we have provided. Always when we pass the first quarter of the year, for me is like a relief. You know that we have a very strong seasonality on our numbers and the first Q, it has this special seasonality in terms of weakness. But there is no reason for us, was more in order to modify the guidance that we have provided to the market. We have received some questions regarding the performance in France and Germany, but I think that we have already addressed them. And I think that with this, we have covered all the topics that have been raised. So operator, I guess that with this -- I don't know Eduardo, do you want to...
Eduardo Zamarripa: Thank you, everybody, for joining the AmRest second quarter results. It's always a pleasure to be in contact with you, and we hope to have the opportunity to see you in one of our restaurants in the near future. Thank you very much.
Santiago Aguilera: Thank you.
Operator: As we conclude today's call, we'd like to thank everyone for joining. You may now disconnect your lines.